Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the IAMGOLD 2014 Q1 Financial Results Conference Call and Webcast. (Operator Instructions) At this time, I like to turn the conference over to Bob Tait, Vice President, Investor Relations for IAMGOLD. Please, go ahead, Mr. Tait.
Bob Tait: Thank you, and welcome to the IAMGOLD conference call. Joining me on the call today are Steve Letwin, President and CEO of IAMGOLD; Gord Stothart, Executive Vice President and Chief Operating Officer; Carol Banducci, Executive Vice President and Chief Financial Officer; Craig MacDougall, Senior Vice President, Exploration; and Jeff Snow, Senior Vice President and General Counsel. Our remarks in this call will include forward-looking statements. Please refer to the cautionary language regarding forward-looking information in our disclosure documents and be advised that the same cautionary language applies to our remarks during this call. During our opening remarks, we will refer to slides which can be viewed via our website. I'll now turn the call over to our President and CEO, Steve Letwin.
Stephen Joseph James Letwin: Thanks, Bob, and good morning, everyone. Well we've always said that safety comes first that IAMGOLD and in the first quarter we achieved the highest score ever recorded for our leading safety measure representing a 46% improvement from the first quarter 2013. What makes this special is that at the same time as all of you know, we've been cutting costs quite significantly. In fact we reduced all-in sustaining costs by $92 an ounce building on the sustainable savings carried forward from our 2013 cost reduction program and our continued focus on cost reduction. Our adjusted net earnings were $0.03 a share. Our gold production was 172,000 ounces. Although this does not reflect all the mining was down during the quarter. At Mouska and Westwood we stockpiled ore with an estimated 20,000 contained ounces, the processing beginning in the second quarter. We completed the commissioning of the new processing line in Essakane. We announced an option agreement with Sarafina to target higher grades softer rock at Rosebel. And Niobec's operating margins increased 25% from the year ago reflecting cost efficiencies and improving recoveries following steps taken to optimize mill performance. And at our Pitangui project in Brazil, we reported a maiden resource estimate of 638,000, inferred ounces creating 4.9 grams of gold per ton. On slide five we talk about reinventing Rosebel. Having secured a lower power rate for Rosebel, we're confident we can drive further efficiencies. We're addressing the issue we add with grades in the fourth quarter and Gord will talk more about that. And we're making some traction under the JV agreement to bring in softer rock. The agreement with Sarafina is a five year option agreement to explore 10,000 hectare land package, 25 kilometers from the Rosebel mine. Sarafina property has a potential yield new discoveries of higher grade softer rock that could be mined with a lower stripping ratio than our current operations. While ingressive drilling program is underway, it can take a couple of years before resources can be brought into production and we're also in the preliminary stages of executing similar transactions for other perspective properties. The government of Suriname understands the importance of accelerating this process and has been very supportive. On slide six, at Essakane we are starting to see the benefits of the new processing line. In the first quarter, we processed 144% more hard rock than in the fourth quarter 2013. Yet with the higher throughput capacity, production rose 15%. We expect production for the full year to be above 25% higher than last year. With production going well, we now need to focus on bringing down the power costs. Feasibility studies to build the transmission line to the national grid and to install a 25 megawatt solar power plant began in the first quarter. On slide seven our production guidance for 2014 is maintained at 835,000 ounces to 900,000. We have production ramping up but Essakane is expected. Rosebel is trending well from the fourth quarter last year as grades began to improve. And the estimated 20,000 contained ounces from the ore stockpiled at Mouska and Westwood will be processed beginning in the second quarter. And Westwood remains on track for commercial startup in the third quarter. With that, I'll turn it over to Carol.
Carol T. Banducci: Thanks, Steve, and good morning, everyone. We had a profitable first quarter all-in sustaining cost are coming down and we ended the quarter with more than $1 billion in liquidity. Our focus for the balance of the year is on ramping our production, achieving greater cost efficiencies and conserving cash. Revenues in the first quarter were $279 billion down $26 billion from the same quarter last year. The lower revenues year-over-year reduced to a 21% decline in the average realized sales price partially offset by higher gold in Niobium sales. The higher gold sales were mainly the result of unsold production at Rosebel and Mouska at the end of 2013 which was sold in the first quarter. Adjusted net earnings for the first quarter were $4 million compared to $58 million in the previous year. This is mainly the result of lower revenues and higher operating cost in the later due to an increase in material mine and a greater proportion of hard rocks at Rosebel and Essakane. Adjusted net earnings excludes such items as impairment and the reversal impairments related to investments and marketable securities and associates and unrealized losses on derivative. In the first quarter 2014 reported net earnings were $0.01 per share. Adjusting for the items shown here, which we consider not indicative of normalized operations, adjusted net earnings were $0.03 per share. After normalizing earnings the effective adjusted tax rate for the quarter was 50% as expected. The increase over 2013 was mainly due to certain cost in various jurisdictions that provide limited tax deductions and which in times of shrinking margins have a greater impact on the effective tax rate. Net cash from operating activities before changes in working capital was $65 million in the first quarter 2014, or $0.17 a share down $50 million from the first quarter of 2013. This is mainly due to lower earnings from operations. Attributable gold production in the first quarter 2014 was 172,000 ounces compared to 188,000 ounces a year ago. The year-over-year variance was due to lower production at Rosebel as a result of lower grades, the stockpiling of ore at Mouska and lower production at Yatela. Partially offsetting the lower production at these operations was higher production at Essakane reflecting the successful commissioning of the new processing line which will allow us to process the higher proportion of hard rock in the future. As well we had a normalized free commercial production from Westwood. We always mined at Mouska and Westwood in the first quarter but to realize economies of scale at the mill we stockpiled the ore for processing starting in the second quarter when a larger volume of ore will be available. This ore is estimated to have 20,000 contained ounces of gold. The variance between commercial production and gold sales was 5,000 ounces. This is mainly due to the timing of sales at Rosebel where inventory carried over from 2013 was sold in the first quarter. This next slide emphasizes the impact of our efforts to reduce cost and sustaining capital. All-in sustaining cost in the first quarter were $1,198 per ounce. Compared to the same period in 2013, the total cash cost component increased to the several variables including lower production and an increase in proportion of hard rock processing. A reduction in sustaining capital expenditures however total all-in sustaining cost down $92 an ounce. Compared to the fourth quarter 2013, total cash cost increased while sustaining capital expenditures declined by $102 per ounce. This resulted an increase in the margin between all-in sustaining cost and our average realized price of gold which rose only slightly than the fourth quarter 2013. By continuing our efforts to reduce cost further, or maintaining the momentum from our cost reduction efforts in 2013, we were aimed to lime this margin throughout 2014. This continued emphasis on economies of scale and improving operating efficiencies and the plan to ramp up in production, we maintain our cost guidance for the year. Turning to Niobec. Higher throughput and recoveries were behind the increase in production to 1.3 million kilograms of Niobium. As of the previous quarter, this reflects the hard work of our metallurgical and operating teams to increase recoveries through the optimization of mill performance. Higher production of Niobium revenues up 25% and the higher level of production in cost efficiencies introduced in 2013 realized a 25% year-over-year increase in operating margins. Lastly, our financial position remains solid. We have over $1 billion in liquidity, over $314 million in cash and bullion and the balance and undrawn credit facility. With that, I'll turn it over to Gord, for a closer look at the operations.
P. Gordon Stothart: Thanks, Carol. I'll recap some of the main operating highlights of each of our mines and talk a bit about how we see things unfolding for the rest of the year. Production is ramping up well and we're putting a lot of effort in achieving greater operating efficiencies. At Rosebel, we're beginning to see a positive trend in the previous quarter, when we experienced an unusually long period of negative grade reconciliation. Grades were lower than they were a year ago resulting in a 5% decline in production compared to Q1 of 2013. However the grade reconciliation between the mine and mill was slightly positive for the quarter. Improvement in mining and processing productivity has helped to counter the impact of the increasing percentage of hard rock which rose from 19% in the first quarter of 2013 to 27% this past quarter. And expanded mining fleet led to a 25% increase in the amount of material mined and the third ore mill installed in the second quarter of 2013 was behind the 9% increase in mill throughput. While grades in the first quarter were lower than they were a year ago, they were up 14% from Q4 of 2013 which in turn drove production higher by 14%. Improving grade reconciliations are partially the results of an action plan implemented following on audit of all our aspects to grade estimation, grade control, operating practices, and material management. With further grade improvements expected, production should build throughout the year. In addition to the grade reconciliation audit, we also conducted an operational cost review diagnostic using an outside consulting firm. On the back of this audit, we have implemented an aggressive initiative, to cut additional mining and maintenance cost from Rosebel through the remainder of this year and to sustain those cuts in the future years. With the harder rock we are working harder at increasing productivity but equally important to the longevity of the mine is the need to bring in higher grades, softer rock under the UJV agreement with the government. At Essakane the new processing line was commissioned in the first quarter and we're seeing immediate benefits. The percentage of hard rock milled increased from 8% in the first quarter of 2013 to 25% in the first quarter of 2014, yet production was up 5% from the first quarter of 2013. If we compare the first quarter to the fourth quarter 2013, production increased 15% while the percentage of hard rock trend through the mill increased by 144%. With increase in throughput, the completed installation of the secondary crusher in the second quarter and expectations of higher grades in the second half of the year, we should see a strong ramp up at Essakane, resulting a 25% increase in ounce production this year versus last year. As Steve said, our next priority is to bring down the power cost. Feasibility studies looking to build a transmission line to the power grid and another to install a 25 megawatt solar power plant, started in the first quarter. These investments could have the potential to improve our cost structure substantially with an estimated 40% savings in power rate. Turning to the Doyon division, Steve and Carol have mentioned the stockpiled ore with an estimated 20,000 contained ounces was mined at Westwood and Mouska during the first quarter with processing schedule to be done this quarter. At Mouska, mining activities have come to a close. Last Saturday we celebrated 24 years of mining at Mouska, a high grade mine that produced about 900,000 ounces of gold in it's lifetime but however we're having more than two to three years of reserves in front of it. We offered our gratitude to the motivated team that made this operation a success over its life, and particularly in recent years. The focus of Westwood is on underground development to the first half of the year in preparation for commercial production in Q3. Productivity is improving, so we're in good shape for a commercial start, development productivity in the priority headings is running over 50% higher than it was last year. As we mentioned on the call last quarter, the yearly production for Westwood is heavily weighted to the second half of the year with over 80% of the production scheduled for the third and fourth quarters. Production at Sadiola was flat in the first quarter of 2013, but down from the fourth quarter. This was attributed to flat grades and lower mill throughput. Positively cash cost and all-in sustaining cost were markedly lower in the first quarter versus the fourth quarter 2013. With respect to the sulphides project and we're working with our partner AngloGold on finalizing strategy going forward. The emphasis is on determining the economic model that would deliver the most attractive returns. Lastly, production at Niobec was up 8% from the same quarter of 2013, reflecting stronger recoveries which have been sustained over the past few quarters. Operating margins were $20 a kilogram of Niobium, the same as the previous quarter, and up 25% from the previous year. To realize the full potential of Niobec, we continue to reduce strategic options. Craig MacDougall will now give you an update on exploration
Craig Stephen MacDougall: Thanks Gordon. Good morning everyone. Our exploration program was very active in the first quarter with just over 60,000 meters completed in various drill programs at our mine sites and exploration sites. We also reported a few developments supporting our continued focus on discovering both higher grade and softer rock. I'll comment briefly on those actions. As you heard from Steve, our strategic focus in Suriname is on discovering and delineating softer rock satellite resources within the joint venture, surrounding the operation. We still have a lot of work to do but we are moving ahead. We signed a five year auction agreement with Sarafina, holder of a 10,000 hectare land package which lies immediately along strike of the previously discovered Sâo Sebastiâo gold deposit. Data from previous exploration activities is well, - has passed an ongoing small scale mining into the potential for the discovery of gold mineralization in this area. This project and other like it will be critical to providing the Rosebel mill with softer rock in the years ahead. In the meantime, our mine exploration team is growing potential near surface strike extensions of the Rosebel deposit. On the surrounding exploration concessions, we remain actively identifying and exploring quality targets. Moving to Essakane, drilling continues to target incurred resource areas below in East of the current pit design with reviewed upgrading these resources ultimately to reserves. On our surrounding exploration concessions, follow up drilling is in progress, that’s a facility prospect and at several new target areas which we believe to be prospective for oxide mineralization. Turning to our advanced greenfield projects. In April we announced an update for our Boto Gold project in Senegal. As you may recall, last July we declared an initial resource estimate of 1.1 million contained ounces of gold in an indicated category, creating 1.62 grams of gold per tonne. Based on a further 9,400 meters of drilling, we have not only confirmed the continuity of the resource but have intersected mineralization for at least 300 meters, North of long strike of the Malikoundi deposit, which is the largest, so far, discovered on the property. This extension remains the target of ongoing growth in this year was cut underway during the quarter. We expect to complete some 14,000 meters of drilling this year and have started its scoping study to evaluate the economics of a range possible development scenarios. Also in April, we declared our maiden resource estimate for our Pitangui project in Brazil, the Sâo Sebastiâo gold deposit is located in a prolific gold producing region known as the Iron Quadrangle. This is a higher grade deposit with an initial estimate of just over 600,000 inferred ounces, creating 4.9 grams of gold per tonne. The drilling program this year will focus on expanding the current resource and identifying additional target areas. We also have active drilling programs at other projects such as Siribaya in Mali and the newly option ones related project in Quebec. We look forward to providing update as this programs progress. The exploration developments so far this year are encouraging, much of that reflects the more disciplined exploration strategy particularly around the need to direct the resources at our most promising projects. Our exploration team is doing great work and I'm confident we'll have more news or report in 2014. I'll now turn you back to Steve, to wrap up.
Stephen Joseph James Letwin: Well thank you, Craig, Carol and Gord for that overview. To recap we are reducing all-in sustaining cost. We are reinventing Rosebel with the focus on bringing in higher grades softer rock, we are optimizing Essakane by the focus on bringing down power cost as production ramps up post expansion. We are ramping up Westwood for commercial production in the third quarter. We are finalizing the strategies to revitalize Sadiola. We are continuing to reduce strategic options to realize the full potential of Niobec and we're advancing our most promising exploration projects. Execution is going very well and that reflects the framework within, which we make decisions and manage the business as we continue to reinforce, it's all about cost reduction, disciplined capital allocation and cash conservation. So, let's open it up for questions.
Operator: (Operator Instructions) Our first question today comes from Andrew Quail of Goldman Sachs. Please go ahead.
Andrew Quail - Goldman Sachs Group Inc., Research Division:
Carol T. Banducci: It is Carol here. Obviously we are working towards maintaining the higher recoveries and the margin we're seeing increasing and pricing as well, we experience in the first quarter. We're maintaining guidance for the time being but as you noted our margin this quarter was $20 of ounce, - a kilogram in the last quarter was similar and so are driving towards maintaining those margins through the year. But we do have a shut down this quarter and so that would be impacted.
Andrew Quail - Goldman Sachs Group Inc., Research Division: And on to Doyon, with the 20,000 ounces, do you think that - that percent will be done in Q2 or into Q3…
Stephen Joseph James Letwin: We were hoping to put that in the 20,000 contained ounces in our - private recovery we're probably 17,000 to 18,000 ounces from the Doyon division reported in Q2, expect to be processing that within the next couple of weeks.
Andrew Quail - Goldman Sachs Group Inc., Research Division: Right, thanks. On Essakane, obviously you said that hard rock through the news was about 24% lift this quarter which is the hard and mass Steve, do you guys system the guidance what we base today to the rest of the year?
Stephen Joseph James Letwin: The second half of the year is over 75% of hard rock.
Andrew Quail - Goldman Sachs Group Inc., Research Division: Okay. And last one, obviously we are expecting grades to improve as we can through the year given you guys are below your reserved, do you think that will happen?
Stephen Joseph James Letwin: Yes. That's still in our forecast.
Andrew Quail - Goldman Sachs Group Inc., Research Division: Great. That's it from me. Thanks very much guys.
Operator: The next question comes from David Olkovetsky of Jefferies. Please go ahead. Pardon me, your line is now open. We'll move to the next question. The next question is from Josh Wolfson of Dundee Capital Markets. Please go ahead.
Josh Wolfson - Dundee Capital Markets Inc., Research Division:
P. Gordon Stothart: There was mining of ounces in main Westwood but mostly development ore.
Josh Wolfson - Dundee Capital Markets Inc., Research Division: Okay. And then I guess from the development side, is most of that being done or I guess what proportion of that being done in long haul versus cut-and-fill for plant commercial production?
P. Gordon Stothart: I don't have the exact split for you right now, Josh. Typically I think what we're looking for this year is about two-thirds long haul one-third cut-and-fill.
Josh Wolfson - Dundee Capital Markets Inc., Research Division: Okay. And then on Côté Gold for a second, something I guess we haven't spoken about in a while, with the prefeasibility complete, should we expect to see a tech report on this asset issued or I guess revaluation to the current carrying value?
Stephen Joseph James Letwin: Josh, it's Steve. We're continuing to de-risk Côté but we are moving the permitting process along. We are looking at different designs for Côté given where the current gold price is looking at the capital really scrutinizing what we might be able to do with Côté again under this price environment. So, I like to use the word news at 11, so we'll probably continue to do that and as we get information about what we can do to optimize Côté, we'll put out in the market. But right now our major theme here is to, continue to de-risk it, make sure we have permits in place and see what we can do to optimize the asset.
Josh Wolfson - Dundee Capital Markets Inc., Research Division: Okay. And then one last question for Essakane. I guess with the comments earlier that more than 75% will be hard rock in the second half, what sort of projection are you looking at for total cash cost I guess compared to first quarter results? Should we see similar cost I guess as the grades increase?
Stephen Joseph James Letwin: Yeah there will be some increase. We don't guide to on a mine-by-mine basis on cost, but with the grades going up, we're actually should - I would expect - the cost on a per tonne basis are going up and per ounce basis they will be lower in the second half of the year than they were in the first half.
Josh Wolfson - Dundee Capital Markets Inc., Research Division: Okay. That's great. Thanks so much guys.
Operator: The next question comes from Patrick Chidley of HSBC. Please go ahead.
Patrick T. Chidley - HSBC, Research Division: Yes. Good morning, everybody.
Stephen Joseph James Letwin: Good morning.
Carol T. Banducci: Good morning.
Patrick T. Chidley - HSBC, Research Division: Just had a couple of questions just quick ones Sarafina, the deal you have the, you have the five year deal, it is going to take you two years to find something, delineate something, what's - is there any more of that deal, or it can be extended or what's the situation there?
Stephen Joseph James Letwin: Well potentially it's a five year option we have on it, it's based on schedule or cash payments on a residual, goes to the vendors and by making the cash payments over the five year term, we own a 100% of the project subject to the NSR that will stay with the vendor. So, I mean essentially its really up to us to decide how long we want we want to keep the book but we have 100% of it if we meet the terms of the option.
Patrick T. Chidley - HSBC, Research Division: Okay, thanks. And then on Pitangui discovery I guess, can you just outline a little bit more detail on what the dimensions are on that project. How deep, what kind of work are you talking about in terms of being an underground target and where you might see potential?
Stephen Joseph James Letwin: We grow the mineralization within our 100 meters of surface so far, extends down to just of about 600 meters where we tested it. We're focusing on it roughly second portion of the main shoot which is quite long, it's 600, 700 meters long within a much larger envelope. The thicknesses that we're seeing through the guts of the depositor more in the range of between five and seven meters that's basically what we're seeing using the cut upgrades we're using. So if you're familiar with some of the other similar deposits within the region, these can be very large deposits. They have a long down plunge dimensions to them and essentially the - ultimately the mineralization will run away from it. So it could be a very large deposit and we have a very large area of our information outline that we're continuing to explore within for other deposits.
Patrick T. Chidley - HSBC, Research Division: Right. And closest mine, what would be the closet gold mine approaching close to new AngloGold's operations?
Stephen Joseph James Letwin: We're about 100 kilometers from the AngloGold operations. We're on what was an unrecognized extension to the greenstone built, so is a very good generative effort by our team to recognize that prospectivity and obviously carry it through to a discovery. In terms of the nearest operation, Jaguar Mining has a small operation beside us, Turmalina, it's called. It's contiguous with our land holding and you can feel free to look up information on that operation.
Patrick T. Chidley - HSBC, Research Division: That's great. Thanks very much. And then the last thing just on the plan for solar power at Essakane, the current plan to Rosebel 5 megawatts I think you said, and cost you $14 million. Is 5 megawatts sort of half the time or how is that work in terms of solar power what you actually get in terms of generated power?
Stephen Joseph James Letwin: You typically harvest somewhere between 20% and 25% of the total design output of the plant on a 24 hour basis.
Patrick T. Chidley - HSBC, Research Division: So that means 1 megawatt, does it, or -
Stephen Joseph James Letwin: Yeah. The 5 megawatt at Rosebel is really somewhat of a demonstration plan. What we're talking about for Essakane is much more of an industrial plant.
Patrick T. Chidley - HSBC, Research Division: I have always cheaper megawatt than I guess.
Stephen Joseph James Letwin: Cheaper for megawatt in terms of both construction and delivery and operating cost.
Patrick T. Chidley - HSBC, Research Division: Okay. And just remind us, what is going to be the effective power that you could get - proposal at Essakane?
Stephen Joseph James Letwin: Again we be in the 20% to 25% of the name plate design on a 24 hour, 365 day, year basis.
Patrick T. Chidley - HSBC, Research Division: Okay. Great, well, thanks very much.
Operator: The next question comes from Dan Rollins of RBC Capital Markets. Please go ahead.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Yes. Thanks very much. Gord, talking about the Essakane and (indiscernible) making to the grid et cetera. When you are at steady stay with your fresh hard rock feed, how much - how much will power cost represent of your unit cost?
P. Gordon Stothart: I don't have that number on the tip of my tongue. Dan, I'm going to guess we're probably in the 30% of total cost range.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Okay. All right. So you think, potentially have to shave out 10% to 15% of your unit cost by going through the - making to the grid.
P. Gordon Stothart: Yeah that's in the ballpark certainly.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Perfect. And then maybe Carol or Steve, maybe you could touch base on the balance sheet the current gold price environment, the balance sheet continues to weaken on a cash position, you do have quite a lot of debt available within your credit facilities. You do have the bullion available. What's your preference to sort of - how do you - what's your preference for generating cash here, is it a drawn revolver or is it begin to sell down the bullion?
Stephen Joseph James Letwin: Our preference would be that we sell the bullion down before we have drawn our revolver. So we don't want to be carrying debt to carry bullion on the balance sheet. So that would be our first step. And we're continuing with some pretty strong efforts to get our cost down. So we're hopeful bringing down our cost another $100, $75 to $100 an ounce and if this Brazilin that $1300 holds, we feel pretty good about our overall cash balance for the next couple of years including the bullion.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Okay. And then maybe, I know - ongoing negotiations with the governments Suriname on the new joint venture agreement. Have you come to any firm details on, would it be a carried interest or will they have to put in their share upfront of any capital or any acquisition of any lands?
Stephen Joseph James Letwin: We have the right to put money upfront, as you know, and if they don't, then we revert to 100% and we still carry the same power cost of $0.11 per kilowatt hour. So, my expectation is, the government is trying to raise money to participate in our joint venture as well as other activities is going under the country. I know that's their desire. Right now, we have Sarafina, which was a property that was owned by a third party, outside the government, we also have another extension that we have secured, we have in press release that because of our sensitivity to the small scale mining community, but it, is quite attractive and my sense would be is that, we may see the government step up once we formed up the resource. So, government is, - has very serious, I would say, intentions of participating where they can.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Okay. And just thought it to clarify is, for example, say, you were to spend $50 million in year one, two years later the government decides they want to participate, can they put in their 30% of that $50 million and participate going forward or do they have a period where they need to put their cash in?
Stephen Joseph James Letwin: They have to put their cash up at the time that we do. So on the $50 million if we were going to be spending that, they'd have to put up 30% of that and - or in 30% interest. Yeah, I'm sure we would be a little forgiving in terms of timing, but not that forgiving. So, we're going to work with them and as I say, if they don't participate, it reverts to us a 100% at $0.11. So, one way or the other, we find the economics very attractive for us.
Dan Rollins - RBC Capital Markets, LLC, Research Division: Okay, great. Thanks. Appreciate it.
Operator: The next question comes from Joseph Reagor of Roth Capital Partners. Please go ahead.
Joseph G. Reagor - Roth Capital Partners, LLC, Research Division: Good morning guys. Most of the question I had were, have already been addressed, but just one quick thing on Boto Gold. What do you guys think the critical math is they are aiming further before you could potentially develop that project?
Craig Stephen MacDougall: I think ideally, - this is Craig MacDougall, we'd like to see a 1.5 million to 2 million ounces constrained in pit. I think it would be kind of the, the sweet spot to kick that over. That's the exploration objective that we're working on and hopefully we'll reach it.
Joseph G. Reagor - Roth Capital Partners, LLC, Research Division: Okay. I know that, that critical math, and would you guys be targeting a heal leach operation?
Craig Stephen MacDougall: We're still doing the test work to determine whether that a viable option, it is largely a fresh rock resource, so, we don't have a lot of offside or sample of top of it. So, whether or not we can leach it, still has to be determined that like it is the type of plant.
Joseph G. Reagor - Roth Capital Partners, LLC, Research Division: Okay. Thanks a lot guys.
Operator: The next question comes from Alec Kodatsky of CIBC. Please go ahead.
Alec Kodatsky - CIBC World Markets: Yeah. Thanks. Good morning everyone. Just had a couple of questions. Now that you've identified a few opportunities around Rosebel and sort of have an idea what you might want to do. Do you have any concept on timeline, for when you might be able to draw softer ores into the mill?
Stephen Joseph James Letwin: Again, just to reiterate, I mean, we're identifying opportunities around the mill, we're obviously moving where the sense of urgency to want to identify them to it - or them but it is still early days exploration on some of these things. And it will take a couple of years to draw out a resource, do the required test work and run the scenarios, to decide if it makes sense to us. So, unfortunately there's no shortcut to get the right answer. There are shortcuts to wrong answers. And we'll just do our work and hopefully get it across the line as quickly as we can.
Alec Kodatsky - CIBC World Markets: Okay. That's understandable. And maybe to follow-up with Gord. I just wanted to circle back to you, your comments on trying to improve grade estimation and I just wanted to sort of confirm that that's grade estimation as it relates to the mining blocks as opposed to grade estimation for the reserve and resource calculation, is that correct?
P. Gordon Stothart: It's both.
Alec Kodatsky - CIBC World Markets: Okay.
P. Gordon Stothart: It's both. I mean, we do a full reconciliation, right from block model through to, to final gold part, and reconcile the different stages, one to the next. And the effort we're putting in place right now at Rosebel, we have parallel one at Essakane, is to understand the variability and manage the variability as best as the statistics will allow us to.
Alec Kodatsky - CIBC World Markets: Okay. And I guess, maybe just to get an idea for how well it's looking so far, you do, you identify the grades are up 14% quarter-on-quarter and I think, your guidance would suggest that grades were going to come up, is that 14% increase inline with what you were expecting or is it slightly better?
P. Gordon Stothart: In the first quarter had slightly positive reconciliation to the resource model.
Alec Kodatsky - CIBC World Markets: Okay. And then, based on your comments, do you expect that, sort of general process to continue for the rest of the year.
Stephen Joseph James Letwin: Definitely, I mean, it is mining and we will see some positive and some negative reconciliation overtime, especially when you look at short time periods, the variability will be a lot higher. On average, we're not surprised that the grades have come back, they do, they do sort of wonder around, the breakeven reconciliation on a regular basis. And at the same time, as I said, we've really gone through all the technical and operating processes and trying to do as best we can to really get on top of that variability.
Alec Kodatsky - CIBC World Markets: Okay. Now, that's great. Thanks very much.
Operator: The next question comes from Doug Dyer of Heartland Advisors. Please go ahead.
Doug Dyer - Heartland Advisors: If you could, you have talked about reducing costs by another $75 to $100 per ounce this year. Could you please have a discussion with regard to mine optimization and how much of an impact that will have?
P. Gordon Stothart: It really depends on which deposits we're talking about. For instance at Westwood, that sort of cost savings really just go to the bottom line, it doesn't have a large effect on what we call reserves and resources because it's a very constrained sort of ore body. Essakane there is more material in the corporate range and we could, given an improvement in cost there, I would expect to see a fairly nice response in terms of reserves and resources. At Rosebel, our cut-off rate is already down close to what I term as sort of a natural background cut-off, of the ore mineralization. So we don't, the cost reduction there, only adds resources in that, if we can reduce our mining cost and our stripping cost, it might allow us to go deeper on some of the existing deposits. But, it really won't affect grades too much.
Doug Dyer - Heartland Advisors: All right. Thank you very much.
Operator: (Operator Instructions) We have a question from David Olkovetsky of Jefferies. Please go ahead.
David Olkovetsky - Jefferies & Company: Hey guys, just a couple of quick ones here. First, it's probably for Carol. Your two revolvers, the $500 million and the $250 million, those are both in Canadian dollars, right?
Carol T. Banducci: No, they're in U.S dollars.
David Olkovetsky - Jefferies & Company: They're in U.S dollar, okay. Okay, and you've $750 available, are there any, so for the bond and denture I see only that there's a minimum tangible net worth, covenant of $2.25 billion and so there's some other financial covenants. Can you just quickly go over those with me?
Carol T. Banducci: In terms of the credit facility, there's a tangible network and there is adjusted EBITDA, so we have a sailing of $3.5 adjusted EBITDA. And we're well below that.
David Olkovetsky - Jefferies & Company: Can I ask, what your calculation is, right now for that EBITDA?
Carol T. Banducci: Yeah, it's just slightly over 1.
David Olkovetsky - Jefferies & Company: And so, that is on a net or a total basis. That's on net basis, right?
Carol T. Banducci: Yeah, on net basis.
David Olkovetsky - Jefferies & Company: Okay. And then, I just wanted to reconfirm and I apologize if you guys mentioned this but I didn't hear it, are you reiterating $400 million in CapEx guidance and 825 to 875 cash cost and 1150 to 1250 all-in sustaining for this calendar year?
Carol T. Banducci: Yeah. That's correct.
David Olkovetsky - Jefferies & Company: Okay. Perfect. And then, I think somebody mentioned that you guys think you might be able to bring cash cost down by 100, - up to $100 an ounce. Is that a 2015 event, I guess in other words, without quite giving guidance 2015, are you indicating that cash cost and or on sustaining cost could be lower in 2015 than 2014 by a $100 an ounce.
Stephen Joseph James Letwin: Yeah. I would say till 2015 event. So, we're working, we've got programs in place at Rosebel, we've got programs in place at Essakane and Westwood. And we're seeing some really good traction, so I would say that's a 2015 event.
David Olkovetsky - Jefferies & Company: Okay. And then, if I could, how much of that is reduced to CapEx and how much of that is reduced to OpEx?
Stephen Joseph James Letwin: It's hard to tell right now but we're, I just saw from our last quarter, we're making some good progress and we were just that Westwood is good, said this last weekend, have been Essakane about a month ago, heading back to Rosebel for the second time. We have some pretty high powered people down the Rosebel right now, working with our management team to really assault cost and we are putting our shoulders into it. We're seeing, we're seeing some really good progress. We've got continuous improvement programs at all three mines and we're very, very pleased with the progress. And Niobec saw the benefits of some increase emphasis that we started a couple of years ago, you can see that in the margins and we're quite optimistic that we're going to be able to continue to do that at our gold mines. So, I'm very optimistic about what we're achieving today and at the same time that we're doing that, we're seeing a very, very improved performance level in safety, which safety in itself is leading the higher productivity. So, with the 46% improvement and our total reportable, we're gaining mandates if you will in terms of optimization that we haven't realized before. So, our performance at the mines given that our ore bodies are challenging to start with, as in very, very positive.
David Olkovetsky - Jefferies & Company: Okay. Very good. Well, listen, congrats. Good luck. And all the best.
Stephen Joseph James Letwin: Thank you.
Operator: The next question comes from Ian Gazard of BlueMountain. Please go ahead.
Ian Gazard - BlueMountain Capital Management LLC: Hi, thanks. Good performance at Niobec in the quarter. Can you give us some more color on the strategic options you're looking at for that asset?
Stephen Joseph James Letwin: I would say nothing has changed there and we were continuing to look at either selling Niobec as an entity or partnering with somebody to move ahead with the expansion. The team at Niobec has done an outstanding job and I would underline outstanding in terms of improving recoveries, managing cost, reducing capital. I've said this to the audience, our audience before the interest in Niobec has increased and I would say significantly over the last six months. This mine has been around 35 years. It's very well managed, it's a great asset. It represents an opportunity for us in some ways they perform to add to our current liquidity whether it's a combination with the partner or in other way it's sale and we continue to work on it. And again that's news at 11 in terms of what we might end up but overall performance of the mine has been extraordinary and we're really happy with it.
Ian Gazard - BlueMountain Capital Management LLC: Great. Many thanks.
Operator: This concludes the time allocated for questions on today's call. I'll now hand the call back over to IAMGOLD for closing remarks.
Stephen Joseph James Letwin: Thank you very much. If you have any questions, please don't hesitate. Please call us in Investor Relations any follow-up questions and we appreciate your participation in the call today. Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.